Naureen Quayum: Good morning, everyone. Welcome to Grameenphone's Earnings Disclosure for the First Quarter of 2022. My name is Naureen. I'm the Head of Investor Relations. With me today are our CEO, Mr. Yasir Azman; and our CFO, Mr. Jens Becker. 
 Before we start, I would like to let you know that our financial results, our presentation and additional documents are available on our Investor Relations website. [Operator Instructions] In case you are unable to address your question in this session, please feel free to reach out to me after our session is over. 
 With this, I would now like to welcome our CEO, Mr. Yasir Azman, to start his presentation. 
Yasir Azman: Thank you, Ms. Naureen. Good morning, everyone. My name is Yasir Azman, and I am the CEO of Grameenphone. Thank you for joining us for our first quarter of the year 2022 results announcement this morning here in Dhaka. 
 I would like to begin with some industry facts. As reported by our regulator, till February 2022, the telecommunication industry reported 182.92 million subscribers, increasing by 1.9 million subscribers from the end of 2021. Grameenphone maintained 46% of total mobile subs in the country. In the same period, mobile data users have increased by 1 million, reaching 224.85 million from the end of the year 2021. 
 Let me start with some of the highlights of the quarter. The first quarter of 2022 has been monumental for Grameenphone, making several milestones. On 26th of March, as the country turned for 51, Grameenphone completed 25 years of operations in Bangladesh, making our contribution to empowering societies, at the same time commitment to continue playing our role as a digital connectivity player in Bangladesh. 
 Also in the first quarter, the regulator held the country's largest spectrum auction in March, where Grameenphone participated and beat for the maximum allowable 60 megahertz of 2.6 gigahertz of spectrum. That was a milestone that has happened in Q1 already in 2021. We registered an improved growth momentum in our top line in the first quarter as a result of our segmented focus on our product portfolio, digitalization of our customer journeys that [ has ] fully supported the faster spectrum and site rollouts. 
 Our top line growth momentum was aided by the growth from the data segment, which was actively driven by improved customer experience out of our investment in the network. With the intention of providing simplified and enriched offerings to our customers, we have actually revamped and simplified our product portfolio to a great extent in the same quarter. 
 [ We had ] the quarter ended with positive momentum globally. We embarked upon the third year of the COVID-19 pandemic in 2022. The impact of COVID-19 has eased significantly in Bangladesh in recent months, with very low number of cases being registered every day. As a result of that, our economy has started to regain momentum in the first quarter, with all sectors of the economy functioning normally and back to business as usual. However, there are uncertainties have risen from the global political scenario, especially with the unrest taking place with the Russia and Ukraine situation and the fresh lockdowns in China from new waves of COVID-19. We continue closely monitoring this situation and prepare accordingly. 
 In the first quarter we continued our planned deployment of the spectrum we had acquired in 2021, which has constantly and continuously led to improved customer experience. We rolled out so far 423 new sites in Q1, which has led to improved capacity on our network, and as a result we are seeing 21% data usage growth from the last quarter. 
 We continue to convert users to 4G. We have seen 1.1 million new 4G users being registered in this quarter. On the other hand, digital share of sales reached to 28.1% in Q1, improving by 4.5 percentage points from the same period last year. This is very encouraging, because despite the country coming out of the pandemic situation with ease, the digital conversion and efforts made to engage customers by digital platforms continue to persist and remain the choice of our customers. 
 Modernization helping us to become more efficient, at the same time, agile to respond faster to the market need. Throughout the year we have talked about modernization in our business models, such as driving automation, bringing in robotics process automation and touch-free operations. We also talked about building critical competencies and upscaling while we have explored partnership models to ensure a future-fit organization from Grameenphone. In 2021, our modernization and transformation journey focused on the automation and streaming of administrative and technology functional areas. 
 However, towards the end of 2021 and in the beginning of 2022, we initiated a 360 degree modernization of our sales and distribution functions, which explored areas of digitalization, analytics and process automation. Our modernization and transformation journey will continue as we persist to find further scope of efficiencies in our operations, which leads to quantifiable savings in the upcoming years. At the same time, it will bring a lot of agility in the organization to drive growth and innovation. We believe the right mix of competencies, capabilities and tools will enable our growth ambition, reinforce our position as a connectivity partner and act as key enablers to sustainable growth. 
 We believe in empowering societies. Grameenphone's operations have always focused towards ensuring sustainable and fair business practices. We focus on various aspects encompassing environment, social and governance in our operations and day-to-day interactions with our stakeholders. As a part of digital inclusion and enablement, as of 31st March 2022, Grameenphone is connecting a subscriber base of 83.7 million customers of home, 44.6 million customers access the Internet and 28.7 million are empowered with 4G connectivity. 
 As an equal opportunity employer, diversity and inclusion are imperative in the way we do business. Our diversity agenda broadly includes gender, skills and competency. As of the first quarter of 2022, the percentage of women in our total workforce is 17%, which has increased from 11% from the end of 2018. Our FutureNation project, with the commitment to upskill 305,000 workforce by 2024, has onboarded a specialized team to deliver on projects goals in 2022, with the ambition to deliver upskilling programs through its smart digital platforms. The program has also signed partnership with Bangladesh Hi-tech Park Authority and completed workshop with BIDA, which is Bangladesh Investment and Development Authority, to progress towards partnership. 
 Grameenphone promotes high standard within health, safety and security in order to ensure a well-protected workplace. Recurring sustainable business practices is crucial to maintain health and safety security for our employees and society. Commitment to this health, safety and security is strongly driven and demonstrated by the leadership team and as well as translated down to the entire organization. We focus on people safety throughout our value chain, with an ambition to zero fatality internally as well as externally into our supply chain. 
 Our well-defined climate ambitions are put in place to make the planet greener and more livable. With Grameenphone as a responsible corporate citizen in doing our part in protecting the environment and contributing to the prevention of climate change, we are focused on building awareness and engagement as first step in our climate ambition. More details of Grameenphone ESGs initiatives as well as performance KPIs are available at our Investors Relations website. 
 I will now welcome our CFO, Jens Becker, to take you through our financial performance for the quarter 1 2022. Jens. 
Jens Becker: Thank you, Azman, and good morning to everybody. Let me start with a short overview of the financial performance of this quarter. In Q1 '22, Grameenphone delivered a further improved growth momentum in top line along with continued growth in EBITDA. Top line growth momentum was supported by our further deployment of spectrum, sites rollout and enhanced market activities. Grameenphone registered a 4.6% year-on-year growth in subs and traffic revenue in Q1 after 3.6% growth in Q4 last year. And EBITDA grew by plus 1.7% with the margin of 61.1%. 
 GP continued its focused investment with the relentless efforts to give customers superior network experience. As a result, on 31st March '22, Grameenphone acquired the maximum allowable 60 megahertz additional spectrum in the 2,600 megahertz frequency band. In future, with this additional spectrum, Grameenphone will be able to further strengthen its customer experience and quality of service, contribute to Bangladesh digitalization while meeting the growing needs for a high-speed Internet in rural and urban areas. 
 At the end of Q1 '22, GP's CapEx-to-sales ratio for the quarter stood at 12.1% based on a 4-quarter moving average. EPS for the quarter stood at BDT 6.0 with a 9.1% decrease from last year on a reported basis. The decrease in EPS was mainly contributed by one-off modernization costs in Q1 along with higher finance costs resulting from currency devaluation. 
 Turning to the subscriber base. Amidst the number series shortage, Grameenphone managed to deliver growth in its sub base through base management. According to BTRC published information as of January '22, GP subscription market share stood at 45.9% while being 46.1% in Q4 '21. In addition, to counter the number series shortage, Grameenphone focused more on driving higher usage from the subscribers. As a result, substantial growth in data usage was observed from last year as well as from previous quarter, contributing towards top line growth. Grameenphone's subscriber base reached to 83.7 million in Q1 with a 3.7% growth from last year, while data user reached 44.6 million with a 6.8% year-on-year growth. With superior 4G network experience, Grameenphone's 4G data user reached 28.7 million with a 33.9% growth from last year. 
 Next page. Total revenue of Grameenphone grew by 4.4% in Q1, which was mainly driven by growth in subscription and traffic revenue. The year-on-year daily STR, daily subs and traffic revenue growth for the quarter was 4.6%, which was 3.6% in last quarter. The growth in subs and traffic revenue was mainly driven by growth in bundle and data, supported by spectrum, site rollout and enhanced market activities. 
 Turning now to the revenue details. To provide better customer value along with the enhanced experience, Grameenphone continued its focus on promoting bundles, bundled services, in Q1. By launching attractive bundled packs along with the continued digital adoption efforts through both own and third-party digital channels, bundled revenue grew by 4.5x compared to last year. With this substantial growth in bundle, the overall subscription and traffic revenue grew by BDT 1.5 billion or, as I mentioned before, 4.6%. The data only packs and paygo revenue increased by 7.5% from last year. 
 The user grew by 76.8% from last year and 20.8% from last quarter. The overall service ARPU increased by 0.5% from last year, mainly due to higher contribution from the bundle and data segment partly offset by lower contribution from voice. 
 Turning to EBITDA. GP posted a year-on-year 1.7% growth in EBITDA with a margin of 61.1%. The growth in EBITDA was mainly driven by growth in top line. OpEx for the quarter stood at BDT 11.5 billion with a year-on-year 7.7% growth. Year-on-year growth in OpEx was mainly driven by higher sales and marketing and operation and maintenance costs. 
 GP invested BDT 3.9 billion CapEx in Q1 '22, focusing mainly on 4G network expansion and coverage expansion. GP rolled out 2,000-plus new 4G sites and 1,800-plus new coverage sites in the last 12 months. Besides this, GP deployed new spectrum in 13,000-plus sites within the last 12 months. At the end of Q1, the number of 4G sites reached to 17,650. 4G population coverage reached 96.9%, which is the  1.1 percentage point increase from last year, which was 95.8%. 
 Now turning to net profit. Net profit for the quarter stood at BDT 8.1 billion with a 22.3% margin. On a reported basis, year-on-year net profit and EPS for the quarter decreased by 9.1%. The year-on-year degrowth in net profit was mainly contributed by the one-off modernization means restructuring costs and currency devaluation in Q1. 
 Next page. Year-on-year, BDT 0.1 billion growth in operating cash flow, in combination of BDT 0.4 billion higher EBITDA and BDT 0.3 billion higher CapEx. The net debt stood at minus BDT 6.5 billion as of Q1 '22. The net debt position improved by roughly BDT 9.3 billion from previous quarter, mainly driven by BDT 3.8 billion higher cash balance excluding the restricted cash and BDT 5.5 billion lower short-term liabilities. 
 In the first 3 months of 2022, Grameenphone has paid BDT 23 billion, equaling 63.3% of total revenues in the form of taxes, VAT, duties, license and spectrum fees and revenue share to the national exchequer. With this, our contribution since inception stand at BDT 979.5 billion. 
 With this, I will now hand back to Azman to summarize and wrap up. 
Yasir Azman: Thank you, Jens. We wrapped up the first quarter of 2022 with positive growth momentum and supported by our investment in network and growth in data segment. As the pandemic situation eases, we are also confident of macroeconomic development, while we remain wary of uncertainties arising from the global political situation.
 We really thank our regulator and the government for a successful closing of the country's largest spectrum auction, and we look forward to continuing our planned rollout and deployment to continue enhancing the digital adoption of Bangladesh. We'll continue to pursue our journey to our sustainable growth through modernization, evolving business models, competency deployment and creating partnerships that will help us to catch up to the constantly evolving connectivity needs of our customers in Bangladesh. 
 Here, I'm handing back to Naureen for Q&A. Thank you, Naureen. 
Naureen Quayum: Thank you, everyone. We already have a few questions. So Jens, let me start with the first one: why did the number of active data customers decline from Q3 2021 base? 
Jens Becker: Yes. Here, we have a data sub degrowth Q4 '21, but it's flat in Q1 '22. The negative impact from the number series shortage we have and GP focused on increasing usage of the existing data users, I think I mentioned this in the speech already. 
Naureen Quayum: Okay. Moving on to the second question: why have the commission expenses increased year-on-year basis? 
Jens Becker: The commission, of course, increased to support the growth. You see a strong growth on the revenue. Economy is bouncing back after COVID, and GP is driving this growth while we improved all this network experience and competitive value propositions to its customers. 
Naureen Quayum: One more for you, Jens: have you charged depreciation of new spectrum in Q1 '22? Is this what drove to higher D&A expenses? 
Jens Becker: No. For the depreciation of the newly secured spectrum, which means which we have bought by the end of the quarter, this is not -- it's also not yet paid. On it, we still have to decide when to deploy it, and then depreciation will start once we have the assignment date of the new spectrum. The year-on-year higher depreciation that you saw in this quarter in Q1 is mainly for the capitalized spectrum that we bought last year in Q2 '21 and the addition of the lease ROU in 2022 with the further rollout. 
Naureen Quayum: Thank you, Jens. We will wait a few minutes for more questions to come in. Okay. We have received a number of questions. Let me start with one for Azman Bhai: what is your take on unlimited data plans as proposed by BTRC? Is it technologically and commercially viable for mobile operators? 
Yasir Azman: I think we have worked with our regulators on this particular case, and we have now good understanding that what is basically good for the industry, our customers, as well as to take the regulator's concern. And we don't see any particular challenge in this regard after good work within the industry and regulator. 
Naureen Quayum: Thank you. I see another question that says: what caused decline in mobile subscriber and data subscriber base of the telecom industry in December and January?
 Actually, we do not have statistics here. In fact, on the BTRC side, it is a growth in telecom industry. So maybe if you could clarify your question a bit further, we can take it. 
 We will now wait for some more questions. Okay. Jens, I have a question for you: what -- sorry, why is there no growth in data subscribers despite growth in mobile subscriber base of GP? Additionally, why data revenue of GP has been declining on a Q-o-Q basis? And why is there an increase in cost of material and traffic charges and sales and marketing commission expense? 
Jens Becker: Yes. I think, of course, one of the reasons is due to the number series shortage. But overall, we need to see this including the bundles. With bundles, there has been quarter-on-quarter growth. In data in Q1 '22, number of days is also lower, 92 days versus 90 days that we have. In terms of the cost and material traffic charges, they increased due to the increase in lease lines, so it means the bandwidth that we have and which we needed to increase to support the strong data volume growth. 
 You might recall, as I've mentioned, the data usage per user has been increased by 76.8%, which is now 5.2 gigabyte per user. At the same time, data users has increased by 6.8%. So it's a strong growth in data demand. And this is why there is also an increase in bandwidth capacity. 
Naureen Quayum: Thank you, Jens and Azman Bhai. Let's wait 2 more minutes to see if there are any questions coming in. Jens, I have one final question for you: is it possible to provide a breakdown of bundles? How many minutes and how many gigabytes were sold in Q1 through bundles? 
Jens Becker: Yes, we can come back to this. We are anyhow working internally on how to make a better breakdown of this. At the moment, I can't disclose it -- or better, I can't break it fully down, but we'll come back to you. 
Naureen Quayum: Thank you. To everybody on the line, we will be here for 1 more minute. If you have any questions, please post them now. Thank you. 
 Okay. I do not see any further questions, so thank you, everyone. It has been a pleasure taking the session with you today. If you do have questions that we were unable to answer, please reach out to me through e-mail or WhatsApp, whatever works for you. We will be taking meetings today. Unfortunately, due to Eid holidays, we will be returning second week of May for any meetings that you would require. 
 Thank you, everyone. Stay safe. Happy Ramadan and Eid Mubarak in advance. 
Jens Becker: Thank you. 
Yasir Azman: Eid Mubarak. Thank you.